Operator: Ladies and gentlemen, thank you for standing by and welcome to the KEMET's Fourth Quarter Fiscal Year 2019 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. It is now my pleasure to turn the conference call over to Richard Vatinelle. Sir, the floor is yours.
Richard Vatinelle: Thank you, Raquel, and good morning, everyone. This is Richard Vatinelle, Vice President and Treasurer. Welcome to KEMET's conference call to discuss the financial results for the fourth quarter and year end of fiscal year 2019 which just concluded March 31, 2019. Joining me today on the call is Bill Lowe, Chief Executive Officer; and Greg Thompson, Executive Vice President and Chief Financial Officer. As a reminder to you, a presentation is available on KEMET’s Web site which will help you follow along with the financial portion of the presentation. Before we begin, we'd like to advise you that all statements addressing expectations or projections about the future are forward-looking statements. Some of these statements include words such as expects, anticipates, plans, intents, projects, and indicates. Although they reflect our current expectation, these statements are not guarantees of future performance, and they involve a number of risks, uncertainties and assumptions. Please refer to our 10-Ks and 10-Qs and our registration filing statements for additional information on the risks and uncertainties. On May 22nd, we’ll be attending the B. Riley Annual Investor Conference in Beverly Hills, California. On June 4th, we will be at the Baird Global Consumer Technology and Services Conference in New York. And on June 11th, we will be at Stifel’s Cross Sector Insight Conference in Boston. We hope to see you at one of these events. Now, I will turn the call over to Bill.
William Lowe: Thanks, Richard, and good morning to everyone. We had an exceptional year with our sales up 15% that led us to achieve a 100% growth in our non-GAAP EPS and a 51% in our EBITDA year-over-year. Over the past several years, KEMET has made several significant structural changes to the business, including improving revenue in our cost structure, positioning the company for future growth and shareholder value creation. Our financial success is driven by four strategic actions. We have discussed many of these changes before but I think it’s worth mentioning again just to explain the positive impact that they have had in our financial results and how we are positioned to perform going into this next fiscal year and beyond. Tantalum vertical integration and a focus on polymer technology combined with the operational synergies from the TOKIN acquisition drove our operating cost down, increased yields and provided access to additional market segments. The ceramics focus on specialty multi-layer large case sizes and working closely with our customers to designing our products with a focus on the growing automotive market segment provided a niche for products requiring high-temperature, vibration and voltage. The timely and successful integration of the Magnetic, Sensors, and Actuators business group from the TOKIN acquisition has further diversified our products, geographies and these are all major factors driving our success. Our successful refinancing of our debt last fall created $21 million in cash savings per year to our interest expense and we instituted a cash dividend to our shareholders for the first time in company history. Our fiscal year 2019 financial results demonstrate the fundamental strength of our business across a broad range of electronic segments. Diversification is critical to the success of our business and as we touch a multitude of markets with various opportunities for growth enhancing our ability to create value for shareholders. As a whole service provider in the capacitor space, we also produce approximately 95% of the dielectrics available to serve our customer needs. KEMET is not the same company it was 10 years ago or even five years ago. As we look ahead, we see tremendous opportunity to build on our positive momentum, drive long-term growth and enhance shareholder value. Now, I’ll turn the call over to Greg to provide some commentary on the numbers.
Gregory Thompson: Thank you, Bill, and good morning, everyone. I’m sure you’ve had a chance to review our press release this morning, so I will highlight only a few key metrics from it. We are very pleased to report that our results exceeded our projections both on the top line and bottom line as we achieved the above-the-top-end of our guidance we previously provided. Revenue for this quarter was up 11.9% to 355.8 million compared to Q4 last year. GAAP net income was 93.4 million and our non-GAAP adjusted net income was 62.1 million in the current quarter. This compares to GAAP net income of 2.3 million in the fourth quarter last year. Non-GAAP adjusted net income was 26.2 million in the fourth quarter last year. GAAP net income in fiscal year 2019 includes a tax benefit of 39.5 million which I will discuss more later. GAAP gross margin was up significantly 780 basis points from 27.7% to 35.5% due to top line growth and continuing operational efficiencies in the solid capacitor segment. Non-GAAP gross margin came in at 34.8%, down 80 basis points from last quarter due to a less favorable product mix in our film and electrolytic segment and lower sales in our MSA segment. GAAP diluted EPS was $1.58 compared to $0.04 for the fourth quarter last year. Non-GAAP EPS was $1.05 compared to $0.44 in fourth quarter last year. Our adjusted EBITDA for the quarter was up 62.7% to 78.9 million from 48.5 million in the fourth quarter last year. The full year adjusted EBITDA margins have steadily increased over the last two fiscal years from 13.9% in March 31, 2017 to 20.9% for the period ending March 31, 2019. EBITDA for the full year was up 51% to 290 million compared to last year. The significant improvements in our results have been driven by the structural changes Bill mentioned; top line growth in all segments, operational improvement and significant margin expansion. Non-GAAP SG&A expenses of 47.6 million were above our estimated range for the quarter and were driven by higher consulting fees related to the initial year of Sarbanes-Oxley controls adoption in the acquired TOKIN businesses along with some relocation of sales offices and personnel. We project these expenses to return to more normal levels going forward. Taxes this quarter was a benefit of 48.7 million due to the release of the net operating loss valuation allowance in the U.S. and a partial release of a similar valuation allowance in Japan. This resulted in a significant one-time benefit to our GAAP results from the realization of the benefits from these net operating loss carryforwards. This tax benefit is due to the significant improvements in our profitability along with our forecast for continued increased profitability going forward. The recognition of this tax benefit in fiscal year 2019, however, will result in a higher effective tax rate for both GAAP and non-GAAP results going forward starting with fiscal year 2020. I will address this further in the outlook section of my remarks today. Capital expenditures during the quarter were 68.4 million compared to 37.2 million in the prior quarter. This coming quarter we project to spend in the range of 20 million to 30 million for capital expenditures as we continue our planned capacity expansion to support future customer demand and improve our IT infrastructure around the globe. We project our full year CapEx spend to be in the range of 120 million to 135 million excluding approximately 45 million to 50 million of capacity expansion related to the customer capacity agreements which are funded by customers. We previously disclosed these capacity agreements with three separate customers whereby one-third of our expanded ceramics capacity once completed in fiscal year 2021 will be in effect presold to these three customers. With 207.9 million of cash on hand and a net debt of 86.6 million, our balance sheet is strong and gives us significant flexibility to pursue strategic growth opportunities. I also want to mention with our recent refinancing in November, we no longer require a public debt rating from the rating agencies. Given there is no need and to save on annual rating agency fees, we have now converted both of our ratings from a public to a private rating. By maintaining a private rating, we should be able to quickly access the debt markets should a need arise. Turning to our business groups; solid capacitors revenue increased 45.1 million in Q4 compared to the fourth quarter of last year and was up 21.3% or 164.6 million for the full fiscal year compared to last year. Looking at the two solid capacitor segment product lines, revenue for our Tantalum product line increased 8.3% or 10.6 million for Q4 relative to fourth quarter last year and 13.8% or 68.1 million increase for the full fiscal year. The year-over-year improvement was driven by continued success in our Tantalum, polymer product development and growth initiatives primarily in the tablet, PC, telecom, cloud and automotive industries. Polymer products continued to drive high design and interest for applications involve higher frequencies, harsh environments, limited board space and enhanced audio quality requirements. Revenue for the ceramics product line increased 45.3% to 34.5 million in Q4 versus fourth quarter last year. For the full fiscal year, revenue increased 34.9% or 96.5 million. These increases were across all channels and regions. These improvements were driven by new product introductions driving product mix, pricing and volume from capacity expansion. Growth was broad-based across all ceramic-focus industries led by automotive, industrial and defense and aerospace. Solid capacitors segment gross margins improved by 640 basis points from 35.6% to 42% and was driven by increased revenue, product mix optimization, favorable pricing for MLCCs and favorable manufacturing performance as a result of a continuing focus on recurring cost out initiatives and yield improvements. Our film and electrolytic business revenue was 50.5 million, 4.5 million lower than the fourth quarter last year. Fiscal year 2019 revenue was 206.2 million which increased approximately 2% compared to last year. Revenue slowed in the distribution channel during the fourth quarter mostly in the Asia-Pacific region for this segment. Gross margins improved 220 basis points from 7.5% to 9.7% due mainly to cost reduction initiatives. Our focus for film and electrolytic continues to be implementing cost reduction and efficiency improvement activities at our manufacturing sites, including the recently announced closing of the Granna manufacturing facility for electrolytic capacitors in Sweden. For the Magnetic, Sensors, and Actuators segment, revenue for the quarter came in at 57.4 million, 2.8 million lower than fourth quarter last year. The decrease was mainly driven by a slowdown in demand for flex suppression sheets that are sold to the smartphone market and reduced demand for an antenna product related to gaming consoles. For fiscal year 2019, MSA revenues came in at 240.7 million, 6% ahead of last year. Gross margin in fiscal year 2019 was 18.8% compared to 21.7% in the prior fiscal year. For the total year, we saw overall strength in actuator products going into the semiconductor equipment segment and some weakening in demand for antenna products associated with the consumer gaming equipment. In addition, demand for piezo products related to the consumer and commercial fish finder business was solid. Demand for metal materials related to the medical segment remained very strong and stable. Now, I will turn the call back to Bill.
William Lowe: Thanks, Greg. I’m going to start with some commentary on our industry sectors and our pipeline of product wins. In the automotive segment, we continue to lock in many designs securing wins across all product lines. Designs for ADAS devices like new radar systems are rapidly increasing, driving larger adoption of our polymer automotive grade. It is particularly exciting to see the significant wins for our European automotive OEMs with our magnetic product line from the MSA business group. Electrification of transportation remains the single most transformative trend in the industry. With electrification increasing, we expect demand for our products to continue to increase even if the unit volume declines somewhat. This is perhaps best exemplified by looking at our success with one particular EV maker design which is projected to reach 17 million in revenues this year in fiscal '20, which will be up over 100% versus fiscal '19. Our ceramic automotive grade, film and electrolytic and first-to-market polymer automotive grade capacitors are all significant elements in such a design. This project was less than 1 million just three years ago and underlines how fast things can move in the automotive segment. Thanks to the large number of EV power and charge platforms we’re involved with, our film and electrolytic product pipeline is growing. All our key target projects are developing well with several ones now entering the sampling stage. In the industrial arena, we are observing a growing demand for components able to operate in harsh environmental conditions such as our film DC link and our film RFI which is relating to filtering in power transmission functions. In addition, sustainability is now a clear worldwide priority which is boosting the requirement for energy generated from green sources like wind and solar. This is well in line with our roadmaps, in particular with our film capacitors where we continue to add design wins in both filtering and power transmission functions, as I mentioned. To give perspective, in fiscal '19, we doubled the sales to our key customers manufacturing inverters for solar. The film series harsh environment graded components previously introduced to the market are being quickly adopted by our industrial customers with sales projected to break 2 million in fiscal '20 growing at an average of 45% per year over the last two years. More importantly, our active pipeline for such product is around 10x the current sales values. In telecom and 5G specifically, we’re very pleased with our design wins in Tantalum Polymer that we’ll see start to come into our revenue later this fall and into our fourth fiscal quarter next fiscal year. 5G is widely regarded as a once in a decade event which will drive significant increase and usage of electronic components. We are well positioned to take full advantage of this transition with our specialty ceramic as well as our polymer products used in the edge computing hardware units. Our yearly award related to 5G infrastructure is up more than 60% year-over-year and this is still just the beginning. This explosion of devices has been driving an equal explosion of data posing an ever growing requirement for quick and reliable data storage in transmission. Polymer Tantalum provides the highest energy density amongst different capacitor dielectrics and this allows KEMET to hold a significant position in the SSD market segment and we continue to add new designs with new customers. And last, we continue to experience very strong activity in the defense and aerospace segment, in particular in North America. There’s a growing number of designs in all the main systems like satellites, radar and missile control units. This favorably impacts our ceramic and Tantalum military grade product lineup. Now let me spend a few minutes now discussing the MLCC situation and then I’ll comment on our channel partners and distribution. In ceramics, KEMET is still running full capacity and our needs continue to add capacity to fulfill demand. Since we do not focus on the mobile device market segment and the small case size ceramics that they require, the slowdown in the cell phone market and the oversupply created by those that manufacture them has had a minimal effect on KEMET. Let me emphasize again that KEMET is focused on specialty, our value-added ceramic products that demand the ability to withstand high temperature, current, vibration and voltage. Additionally, approximately 60% of our ceramic product volume is sold into the growing automotive market sector. The large case ceramic supply/demand gap that has been created by both market demand and competitor strategies continues to exist. Certainly, we’re seeing a slowdown in the distribution channel from an orders standpoint, but the OEM channel remains strong and robust so we’re now able to provide quicker relief to our OEM customers as demand slows in distribution. We continue to expect another great year in fiscal 2020 from our ceramics product line. Further, we have effectively presold, as Greg mentioned, 33% of our future capacity through our capacity agreements with three customers that we believe provide assurance of a softer landing in our competition if, I say if a slowdown were to occur in the future and at the same time it guarantees those customers the volume in components that they require. Turning now to the distribution channel, POA generated 151.8 million in revenue which was flat versus Q3 '19, but up 18% compared to a year ago. Our channel partners book to bill for our products remain positive for the quarter at 1.02. Channel inventory of KEMET product did grow 14% in the quarter and we continue to work with our distribution partners to ensure that they balance POA with POS to prevent unnecessary inventory build. The distribution channel has been adjusting backlog across all regions driven by shortening lead times. As a result, POA in our fourth quarter was down slightly to Q3, down about 2%. Americas was down 7%, Asia down 2% and EMEA was up 3%. This is impacting our Tantalum business more than our other product lines. As I said while discussing our MLCC product line, the adjustments that are being made in distribution for our ceramics are actually helping us meet the demands of our OEM customers and minimizing our expedites as we continue to run at full speed there. On another positive note, POS was very healthy in Q4 growing 6% as compared to Q3. By region, Americas POS was up 4%, Asia was down slightly at 1% and EMEA was up 14%. Before I turn the call back to Greg, I’ll provide some color on the China tariff situation and KEMET. The new tariffs imposed under List 3 by the Trump administration will have very little direct impact on KEMET. We continue to pay primarily on our polymer product that has been true since the first tariffs were introduced. In regards to the tariffs announced by the Chinese government just this week, we project very little impact under those tariffs, possibly $300,000 or less. Most of our materials that we import to China for our facilities do not come from the United States. Now, I’m going to turn the call back to Greg to discuss our guidance for the next quarter.
Gregory Thompson: Thanks, Bill. Turning now to our outlook. We expect our first quarter revenue to be in the range of 338 million to 348 million, up approximately 3.2% to 6.2% compared to last year’s first quarter. We continue to see some inventory reductions in the distribution channel, as Bill mentioned, but for us we expect this weakness should be more than offset by expected growth in our other channels and the continued strength of our diversified product offerings across multiple geographies. The non-GAAP gross margin will continue to be strong between 33.5% and 35% as a result of the favorable pricing environment and ongoing focus on operational efficiencies. Selling, general and administrative expenses should be between 44 million and 46 million and research and development expenses will be approximately in the range of 12 million to 13 million. Our global effective tax rate will be around 25% to 28% for the first quarter, a more normalized rate following Q4’s net operating loss valuation allowance releases. This higher effective tax rate is due to our improved profitability and our future expected profitability resulting in the realization for financial statement purposes of our income tax net operating losses. In spite of this increase to our reported effective tax rate for fiscal year 2020, we expect cash taxes to be in the range of 15 million to 20 million for the year. Now, I’ll turn the call back to Bill for some final remarks.
William Lowe: Thanks, Greg. KEMET has always demonstrated a deep commitment to the environment, our employees and the communities where we operate. And if you haven’t seen it yet, we proudly published our first Corporate Sustainability Report that details our sustainability program. I hope you will take the time to review it. Sustainability is an important aspect of our investment profile and has been a significant part of KEMET’s culture for many years. We think strategically about the future with an eye toward global megatrends, electrified and connected world, energy efficiency, safety and product innovation. Anticipating and planning for these trends will be critical as we capitalize on strategic growth opportunities that align with our strengths and our adjacent to our existing products. Over the next five years, we expect the following. To achieve organic revenue CAGR growth rate of at least 5%, grow revenue through acquisitions at a CAGR rate of 5% by the end of the fifth year and develop a disciplined capital allocation strategy to enhance shareholder value and return. Finally, I want to remind everyone that KEMET is celebrating its 100-year anniversary this year and we’ll be ringing the closing bell at the New York Stock Exchange on June 12th to commemorate this achievement. We believe the future of KEMET is bright because of our strong financial position, investment in innovation and diverse portfolio of differentiated electronic component solutions where customers demanding the highest standards of quality, delivery and service. We have the balance to provide flexibility to achieve our growth plans in place. And thanks to all of our hardworking employees around the globe that makes all of this possible. Operator, we will now take questions.
Operator: The floor is now open for questions. [Operator Instructions]. Your first question comes from the line of Maynard Um with Macquarie.
Maynard Um: Hi. Thanks, guys. You’re guiding gross margin to be down sequentially in the 33.5% to 35% range after a stronger 35.5% this quarter. If I walk through your business segments and I look at F&E should see some benefits from the Granna plant closure, MSA should start seeing some seasonal build benefits returning gross margins I assume back to that 20% level and I would have thought the capacitor business would have been relatively stable. So is this a function of mix or are you seeing gross margin impact somewhere or is there just a level of conservatism there?
Gregory Thompson: Maynard, this is Greg. Yes, I will say it’s predominately mix. The mix can move around quite a bit depending upon the channel of distribution. And as we talked about distribution, there is a little bit of inventory correction still going on there and that tends to be little bit higher gross margins for us, so that’s part of it.
Maynard Um: Okay. And was there inventory – so the inventory correction will be greater in this following quarter than it was in fiscal Q4?
William Lowe: Maynard, this is Bill. I think continue – when we look at what’s correcting actually in the distribution channel that affects us the most, I mentioned it was Tantalum. So we’re seeing – there’s probably two quarters and I think anybody who attended the EDS and heard what the distributors said, there’s probably two more quarters of correction related to inventories both for those that are dealing with small case size ceramics and in the Tantalum, a lot of the Asian distributors put a lot of Tantalum into their channel and that’s having some effect on us. But the other thing I’ll say from a positive note is we’re larger in polymer than we are in the older technology of MnO2. And I think that while you see a slight change in margin, it’s actually very small. So I think we’re well positioned regardless as this transition takes place of normalizing the inventories and say the Tantalum space, we actually produce more polymer than we are MnO2 and that’s our premium product. We’re a leader in that. And so we’ll see some effect which you’re seeing in those margins for that mix, but it’s not significant.
Maynard Um: Okay. And then on the ceramic side, you said you’re still running at full capacity. If you look at the market on the automotive side, probably weaker than people might have hoped for the full year. Does that impact your capacity at all for the full year or is demand continuing to be pretty strong that we should continue to expect the supply/demand imbalance through the rest of this year?
William Lowe: Yes, I think we’re in a unique situation in addition to the standard market demand in the automotive segment, which continues to remain strong. You have the competitor strategy changes that have occurred and that continues to drive that supply/demand gap. So as I mentioned in my formal remarks, even as we see unit volume potentially pull back a little bit in automotive, our current projection would be that we’ll continue to run the way we’re running today. We’re not pulling back on adding additional capacity. We’re still doing some expedites with some OEMs. It’s not as much as it was before because of the inventory correction happening in distribution, that’s actually helping us as I said. So our view at the moment is, yes, it’s going to continue strong but the combination of both increased content and competitor strategies have bifurcated [ph] a gap that is still – we’re still working to make sure we fill.
Maynard Um: And does the inventory correction have any impact on your pricing to the OEMs?
William Lowe: We have – as you may remember, we typically negotiate our contracts on an annual basis which are typically negotiated in the fall which go into effect in January. So we’ll see where we are as we get into next fall for the following year. But right now we’re under our contracts that we negotiated six, seven months ago.
Maynard Um: Okay. And then just lastly on the OpEx side and I think I might have missed the comment, but on sales and marketing I think last year you had higher accruals due to your outperformance. How should we think about that heading into this fiscal year? If I just annualize your Q1 guidance at the midpoint, looks like it will be up slightly on a year-over-year while I would have thought that would be flat or down on a year-over-year basis. And then similarly just on R&D, one of the primary drivers of that increase and should we think about that being pretty stable throughout the rest of the year? Thanks.
William Lowe: Yes. Let me take the R&D first. We’re actually trying to increase our R&D spend as I’m trying to keep it as a percentage of revenue, I’ve been trying to get to that 3.5% to 4% kind of number. Without R&D, future products that don’t exist today won’t exist tomorrow. So we definitely need to make sure we’re spending the right amount in R&D. In the past we probably under spent R&D a little bit. So R&D will be in the range that Greg mentioned and I think you’ll see that more on – not that range on a quarterly basis. SG&A I think we are still spending on a lot of the SOX compliance work that will continue into this next fiscal year as we have to do more cleanup in that area. So I think initially in the first part of the fiscal year there is some expenses this year that we didn’t have last year that’s kind of offsetting as the expected decline that you were referring to which would have occurred without those expenses probably.
Maynard Um: Okay, great. Thanks. I’ll get back in the queue.
Operator: Your next question comes from the line of Matt Sheerin with Stifel.
Matt Sheerin: Thanks. Good morning.
William Lowe: Good morning, Matt.
Matt Sheerin: Good morning. Just following up on Maynard’s questions, specific to the Tantalum business, could you tell us what the channel inventory stood at in terms of months and where it was?
Gregory Thompson: Overall, the turns and distribution are running close to three – somewhere between – depending on the distributor on average is probably between 2.5 to 3 turns at the moment. We really prefer them to be around 3 or more. Some distributors are more than that. The high service channels are still turning faster than that. But overall blended, it’s that. What we like – what we’re happy to see Matt and I mentioned it in my formal remarks is that the book to bill number for our distributor partners overall is still positive at 1.02 and I think that’s a good sign.
Matt Sheerin: And what was the book to bill for the overall company again? Was it above 1 still?
Gregory Thompson: Overall for the entire company, it is – we’re below – overall, let me just give you a breakdown between distribution and OEM. So I think it’s important, as I said, the change in distribution is actually helping us with our – at least our ceramics picture and the OEM side. The OEM book to bill is about right at 1. Distribution is somewhere between 0.75 and the overall will be about 0.85.
Matt Sheerin: Okay. But you – so you said distribution was 0.75, but earlier you said it was 0.102?
Gregory Thompson: No, the distributors book to bill --
Matt Sheerin: Their book to bill, I see, got you. I see. So there’s slightly – got you.
Gregory Thompson: Right. And I think that’s a positive sign from the standpoint of what they’re selling out and what the demand of our products is from a booking standpoint.
Matt Sheerin: Yes, okay. And then you did talk about pricing and obviously you’ve benefited both on Tantalum and ceramic and you’ve talked about increasing pricing to OEM customers January 1st. You already did that in distribution. How is that playing out for you?
William Lowe: Just fine.
Matt Sheerin: So there are sticking. Is there expectations though as we get through this correction with Tantalum that you’ll see at least a return to more normal ASP pressures and pricing pressures?
William Lowe: I think in the Tantalum side of the business, I think certainly we’re seeing a little bit of that even today, especially on the MnO2, which is where most of the pricing pressure is and would be expected to be. And as I emphasized earlier, we have been focused on polymer technology. And so we are the leader in polymer. We have crossed over where polymer from a value perspective is the larger part of that business. So, yes, there is an impact that’s coming from MnO2 and ASP pressures which will probably continue through this year in a more normalized fashion to your point. But again that’s not 100% of our business in the Tantalum space. And so we expect to be cushioned a little bit by that.
Matt Sheerin: Okay. And on the MLCCs, you talked about obviously the fact that you’re in the right part of the market and you have some competitors walking away from some of the large case size. And we’ve heard that certainly one of the biggest competitors I guess just discontinuing early next year. Is that – do you get a sense that that’s still playing out or will competitors see that opportunity where you’re seeing better margins, your ASPs are increasing where they may come back to some of those product lines?
William Lowe: At the moment, what we’re hearing is that they’re continuing with their strategy. I think their strategy is – how do I phrase this? They are lengthening out the timeframe as they exit, but they’re still exiting. So I think the impact – what’s happened in the impact of their facilities running with less utilization for their small case size is encouraging them to continue to run some more large case size rather than completely back out on kind of a cliff basis. That’s actually probably a good thing for the market because their volumes are so high that if they were to have done that, the shortage would be even worse than it is today. So what we’ve heard is that they are continuing with their strategy. Rather than being completed by whatever date that they originally had chosen, it might lengthen out a little longer. But again, I think that’s actually favorable for the industry, too quick of – stopping that production at 100%. Whichever parts they have chosen to do that on would be actually very detrimental to the market. So I think it’s actually a good thing, but we’ve heard nothing that they have changed their strategy.
Matt Sheerin: Okay. And just last for me, just regarding the contracts you have with the three customers that are basically paying upfront for capacity. Are there any other conversations going on with customers there or in terms of expectations? Is that it for now?
William Lowe: I think that’s it for now, Matt.
Matt Sheerin: Okay. Thanks so much.
William Lowe: Thank you, Matt.
Gregory Thompson: Thanks, Matt.
Operator: [Operator Instructions]. Your next question comes from the line of Craig Ellis with B. Riley FBR.
Craig Ellis: Thanks for taking the questions. Bill and Greg, congratulations on the execution both in the quarter and for the full year.
William Lowe: Thanks, Craig.
Craig Ellis: You’re welcome. I wanted to start understanding some of the dynamics in the quarter because revenues came in considerably above my expectations. Where in the business did we see outperformance in the quarter?
William Lowe: Yes, I would say it was pretty broad-based but more focused on the solid capacitor segment. Ceramics in particular continues to perform the best and that’s where the greatest over performance occurred both from a volume perspective as well as through their different channels of distribution.
Craig Ellis: And further clarification with respect to the outlook, 3%-ish decline plus or minus. Is that primarily the distribution impact that you’ve talked about and some of the rationalization that’s going on there or are there other parts of the business that would just be seasonally softer in the June quarter?
Gregory Thompson: So I would say the main – so 3% to 6% if you compare to first quarter last year increase. But I would say, yes, distribution is the – that correction that’s going on is still continuing in particular, as Bill said, in the Tantalum area. That’s something we’re still working through that is impacting the Tantalum business, to a greater extent the MnO2 portion of Tantalum that would be the greatest impact. Also I would say, overall, the Asia Pacific region where MSA is focused continues to be a bit weak too. And so that’s another thing pulling down the growth to the 3% to 6% range.
Craig Ellis: Okay. And then taking a longer-term view and looking out over the course of the full year and not looking for guidance here guys because that wasn’t provided but trying to get a sense of how some of the drivers that you discussed stack up whether we’re looking at the content gain in EVs or the potential to really start ramping 5G infrastructure, the leading SSD position where I think we’re going to see tremendous elasticity of demand this year, harsh environments, those end markets have been doing well. If we look at fiscal '20, where does the company have its greatest confidence in business growth this year? And are there any headwinds we need to be aware of as we’re looking out over a four quarter time period?
William Lowe: Well, if you use the current environment with – assuming that the Chinese tariffs don’t get released because that of course would create a whole different dynamic. So in the current environment, we’re still very – we expect it challenging but we’re very optimistic about the year. And specifically to your question, we expect to still see the ceramic space continue to put out more volume as our continued capacity comes online. We also expect those wins in 5G that’s polymer to kick in, in the third and fourth quarter of this fiscal year which will help the polymer business from where they are today. So we’re optimistic that even with the challenges that some of the governments of the world have put before us that we have an opportunity to continue to have another good year. We’re up – our projection for the first quarter is up over last year’s first quarter. And I don’t think any of us should be looking at 90-day windows these days about where business is going. So we’re optimistic in a challenging environment that the company will do well this year.
Craig Ellis: Excellent. And then following up on some of the gross margin questions and just understanding how the price changes that took effect late last year are impacting gross margin? When pricing is negotiated and new prices go into effect whether they’re higher or lower, but in the most recent case, very favorable for the company. When do we see the benefit of those changes through the economics of the business? Does it all occur in the quarter immediately after the changes were implemented or is there a tail effect that would extend much longer than that? And in this year’s case, how would that play out?
William Lowe: Well, I think if we go back a couple of quarters and couple of earnings calls ago, there were some pricing increases that went into effect in the quarter ended in September. There were some additional ones that went into effect in December and then we had multiple contracts that went into effect between January and March 31. They all don’t start effectively January 1st. So we have seen the effect of the price increases primarily through March 31. There’s probably some additional benefit rolling into this Q1 from the standpoint that not everything, not all the contracts that were first calendar quarter went into effect right on January 1st. But incrementally the bulk of the price increases are already in the numbers. There’s probably a little more benefit as we roll in the Q1 as compared to Q4, but primarily the price increases are already in there.
Craig Ellis: That’s helpful. Lastly for me and then I’ll get back in the queue. Thanks for providing the longer-term outlook with respect to the CAGR. I just want to clarify. I think I heard that there was a 5% revenue CAGR, then there was a comment around acquisitions I believe. I wasn’t sure I got that right, but can you just restate --
William Lowe: Yes, that’s correct. We set a 5% CAGR rate on organic growth, revenue growth and then a similar number of 5% CAGR rate growth for acquisitions over a five-year period from that standpoint. So those are the two categories that I spoke to.
Craig Ellis: Thanks, guys.
William Lowe: Thank you, Craig.
Operator: [Operator Instructions]. Your next question comes from the line of Marco Rodriguez with Stonegate Capital Markets.
Marco Rodriguez: Good morning, guys.
William Lowe: Hi, Marco.
Marco Rodriguez: Hi. Thanks for taking my questions. Most of my questions have been asked and answered, but I have a couple of quick kind of follow ups and high level type questions here. First, from the cash flows and your expectations for fiscal '20, I was wondering if you could talk a little bit more about cash flow going through the year. Obviously, you’ve given the CapEx guidance for the full year and then if you could talk maybe about how that CapEx kind of rolls off to the quarters?
Gregory Thompson: Yes, so we would expect another good year of strong cash flow generation. So the CapEx for us can be a little lumpy guidance for Q1 is 20 million to 30 million, because I would expect that to probably be higher in the second quarter and then taper off some after that. And then I guess I should say longer term – this is really with all the capacity additions as well as the IT infrastructure investments that we’re making, FY '20 will be another year like FY '19 was of elevated CapEx, but after that, so into the following year, we would expect CapEx to get back down to what I would consider to be more normal sort of levels, so kind of a D&A sort of replacement rate or something closer to 5% or so of our revenues going forward. And so – and overall, the working capital, everything remains very tightly managed there. So EBITDA is – a lot of that will drop in terms of cash flow generation. The only other thing I should mention is, so we do have the run-off of those acquired antitrust liabilities related to the TOKIN acquisition from a couple of years ago and that’s still a pretty significant amount, I think it’s around 30 million, 40 million or so of further cash outflow that we would expect in FY '20.
Marco Rodriguez: Got you. And then maybe if you can just talk a little about capital allocation policies for this fiscal '20, just where we are --
William Lowe: Yes, as I – well, as I’ve said, we plan to develop what that capital allocation strategy looks like with the Board of Directors in the short term. So I would say, stay tuned and maybe on our next call as we get into our annual shareholder meeting, we’ll have something further to say about that in a little more detail.
Marco Rodriguez: Got you, okay. And then in terms of the acquisitions, I think it’s been a little while since we’ve heard you guys talking about potential acquisitions. Maybe if you can provide a little color there as far as what sort of expectations you might have there in terms of types of targets, or space, or geography, any sort of color you can provide there in terms of what the acquisition landscape may look for you guys?
William Lowe: Yes, I’ll add on to some the comments – public comments we’ve made already in the past when we loosely talk about where we think we should be growing. Some of it is in the magnetic and sensor space potentially. We’re also looking at other areas that’s adjacent to our components that are already on the board. So we’re looking to not just stay necessarily in the capacitor space, but maybe move the value chain a little bit. And just to put a perspective of what a 5% CAGR rate is for the five years – at the end of five years, it’s fairly close to a $500 million kind of number over that – by the end of that period if you were to run those – both of those numbers. So we’re looking across the space. We’re certainly focused in building our MSA group and making that be a bigger more important group. And then that would primarily probably be geographically as is most electronic components, geographically is probably more focused in the Asian market. And of course that’s where we’ve done our financing. Our financing as you know is done through a group of Japanese banks and we’re happy to continue that relationship and look to use them as our partners as we do some of this expansion.
Marco Rodriguez: Got it. Thanks a lot, guys. I appreciate your time.
William Lowe: Thank you, Marco.
Gregory Thompson: Thanks.
Operator: [Operator Instructions]. Your next question is a follow up from Maynard Um with Macquarie.
Maynard Um: Hi. Thanks, again. When do you think we start hitting the volume ramps in 5G? Is that a fiscal '21 timeframe? And any thoughts on how that might impact supply? Is there enough industry capacity today to fulfill that growth? Because I know you guys pause some of the capacity build there on the polymer side from the original plan, but any thoughts there?
William Lowe: Yes, you’re probably right, Maynard. The largest ramp – and I’ve seen, we’ve all seen the various commentary has been made about the ramp of 5G. I think the majority of it probably is into '21 and '22 for us. And so we have – I think we’ll have the ability to determine how we – if we need to and what timing wise to add additional capacity in polymer if that is what’s required. So I do think it’s – there’s a lot of to talk about 5G. It is coming. We’re seeing awards now. But I think the bigger awards and the more implementation of that probably is out into fiscal '21 and '22, which is a good sign. That’s continued growth from my point of view. That’s continued growth over several periods of years.
Maynard Um: Right. I guess I was looking at it from a perspective of pricing if we get into another period of tightness, do we see capacity adds and CapEx spend and during that timeframe, we see pricing strength?
William Lowe: Well, just all our comment is on Economics 101 would indicate that if supply was tight and demand was high, you’d probably see pressures on prices going up versus down.
Maynard Um: Okay. And then can you just talk about whether you have – what sort of strategy changes or things that you’re planning to implement now that you’ve been in the CEO seat? I presume a lot of it is steady as she goes, but maybe you can share some of your insight in terms of what your plans might be? Thanks.
William Lowe: Well, I think – I guess I’ve signaled a little bit by my final commentary today regarding what we plan to do from both – not just an organic growth perspective that’s where we are to just taking what we have today and growing it over a period of time, but also putting us on a path to grow inorganically and not necessarily just in the capacitor space; and then thirdly, developing with the Board a more robust capital allocation strategy to return value to our shareholders.
Maynard Um: Okay. Thanks. And just from M&A perspective on the balance sheet, any targets to think about in terms of potential debt raises?
William Lowe: No, I mentioned that most likely, especially if the targets end up being in Asia, we’d be looking to utilize our bank group that we have in Japan. That will minimize of course the interest expense that would hit the P&L and we have the flexibility to do quite a bit there. So I think that’s where we’ll see that coming from.
Gregory Thompson: Yes, and I would just add to that. We have – as we said in our remarks, we have a lot of flexibility in the balance sheet with 1x levered currently and also some excess cash that we could deploy if we saw the right target.
Maynard Um: Okay. Thanks, guys.
William Lowe: Thank you.
Operator: There are no further questions. Gentlemen, the floor is yours for any closing remarks.
William Lowe: Thank you. We appreciate everyone attending today and we’ll talk to you at our next earnings call in July on our annual shareholder meeting and look for us to be ringing the bell on June 12th at the closing bell at the New York Stock Exchange. Thank you very much.
Operator: Thank you. Ladies and gentlemen, this concludes KEMET’s fourth quarter fiscal year 2019 earnings conference call. You may now disconnect.